Operator: Ladies and gentlemen, thank you for standing by for CIGNA's First Quarter 2011 Results Review. [Operator Instructions] As a reminder, ladies and gentlemen, this conference, including the Q&A session, is being recorded. We'll begin by turning the conference over to Mr. Ted Detrick. Please go ahead, Mr. Detrick.
Edwin Detrick: Good morning, everyone, and thank you for joining today's call. I am Ted Detrick, Vice President of Investor Relations, and with me this morning are David Cordani, our President and Chief Executive Officer; and Tom McCarthy, CIGNA's acting Chief Financial Officer. In our remarks today, David will begin by briefly commenting on CIGNA's first quarter results. He will also profile CIGNA's domestic Health Service business, which will include a discussion of our consultative selling approach and our self-funded product offerings. Next, Tom will review the financial results for the first quarter and provide an update on CIGNA's financial outlook for full year 2011. We will then open the lines for your questions. And following our question and answer session, David will provide some brief closing remarks before we end the call. Now as noted in our earnings release, CIGNA uses certain non-GAAP measures when describing its financial results. A reconciliation of these measures to the most directly comparable GAAP measure is contained in today’s earnings release, which was filed this morning on Form 8-K with the Securities and Exchange Commission and is posted in the Investor Relations section of cigna.com. Now in our remarks today, we will be making some forward-looking comments. We would remind you that there are risk factors that could cause actual results to differ materially from our current expectations. And those risk factors are discussed in today's earnings release. Now before turning the call over to David, I will cover a few items pertaining to our first quarter results and disclosures. Regarding our results, I note that in the quarter we recorded an after-tax gain of $24 million or $0.09 per share, related to the completion of an IRS examination, which we reported as a special item. I would remind you that special items are excluded from adjusted income from operations in today's discussion of our first quarter 2011 results and full year 2011 outlook. Relative to our run-off operations, our first quarter shareholders net income included an after-tax non-cash gain of $13 million or $0.05 per share related to the Guaranteed Minimum Income Benefits business otherwise known as GMIB. I would remind you that the impact of Financial Accounting Standards Board fair value disclosure and measurement guidance on our GMIB results is for GAAP accounting purposes only. We believe that the application of this guidance is not reflective of the underlying economics, as it does not represent management's expectations of the ultimate liability payout. Because of application of this accounting guidance, CIGNA's future results for the GMIB business will be volatile as any future change in the exit value of GMIB's assets and liabilities will be recorded in shareholders net income. CIGNA's 2011 earnings outlook, which we will discuss in a few moments, excludes the results of the GMIB business and therefore any potential volatility related to the prospective application of this accounting guidance. Now regarding our disclosures, beginning this quarter, we have made some reporting enhancements to our quarterly financial supplement. Specifically, we have included a new financial highlights page at the beginning of the supplement to provide investors and analysts with an Executive level view into the revenues and earnings for each of our ongoing businesses, as well as provide a more comprehensive breakdown of the 66 million customer relationships we service across our ongoing businesses. In addition, we have reorganized the supplement to give more prominence to the business segment income statement and related financial metrics. We are making these reporting enhancements to provide investors and analysts with improved transparency into our diversified portfolio of global health service businesses. And with that, I'll turn it over to David.
David Cordani: Thanks, Ted, and good morning everyone. Before Tom reviews our results and outlook, I'm going to take a few minutes to briefly comment on our first quarter performance and then I'll spend some time profiling our U.S. business, more specifically I'll focus on how our approach to the market and how our capabilities position us for sustained, profitable growth in the future. So let's dive in. Overall, we're pleased with the results we delivered for the first quarter. We have backdrop, we delivered strong results in 2010. We set competitively attractive targets for 2011 and for the first quarter, we have exceeded those targets. We reported consolidated adjusted income of $375 million or $1.37 per share, with earnings growth in each of our ongoing businesses and revenue growth of approximately 8%. Our results continue to reflect strong execution of our growth strategy, which as you know is to Go Deep, Go Global and Go Individual. In delivering on our strategy, we continue to demonstrate an ongoing commitment to drive value for our customers, clients and shareholders. A common theme this quarter was growth. Focused targeted growth across each of our ongoing businesses using our Go Deep approach to drive crisp execution and deliver attractive results. I would highlight, very importantly, that we grew while executing on the fundamentals of our business, including maintaining pricing discipline and providing strong clinical and service excellence. I'm proud of the CIGNA team for delivering on our commitment again this quarter and we remain focused on delivering for 2011 as well. Create value on a sustained basis. At CIGNA, we put the customer front and center. We recognize that the individual is the end-user of our programs and services, regardless of how we access them. Whether it's an individual in Seoul, Korea, who has a hospital cash policy or it's the New York-based employee, who has a medical plan through his or her workplace, CIGNA's clinical programs and service standards are all created and delivered with the individual in mind. At our Investor Day in March, we discussed the concept of enduring customer value. This business opportunity, which we seek to own, will focus on the individual's customer needs and we'll rise to meet those needs, as they change throughout various life stages. Now as I previously said, make no mistake, our intent is not to be all things to all people, rather, we will seek to meet individual's changing needs by going deep in targeted geographies and market segments and by leveraging our growing global capabilities. I'll come back to enduring customer value in a few minutes, but let me first set the foundation by highlighting 2 major aspects of our U.S. business that allows us to win in the marketplace, provide differentiated value to our clients and that we believe will drive sustainable growth in the future. The first piece is our consultative sales approach, which is at the core of how we partner with our clients. It's through this partnership that we deliver meaningful value to our clients and customers over time. We recognize that to best serve our clients, we must first listen to and understand their needs and then tailor solutions to meet those needs, using our full range of medical, specialty and productivity programs. Today, we have a unique set of capabilities that we offer across all of our targeted employer segments. And as I noted before, we match these with our clients' and customers' goals, as they evolve over time. This matching process is fairly intuitive. But I can assure you, it’s one that's not easy to replicate. Consultative selling is not just a matter of having the right products, network, wellness programs or funding options. These represent baseline capabilities today, which really sets us apart as a health service company from health insurance companies is aligning those capabilities with the specific needs of our clients. For us, the keys are: Our people, actionable information, our health and productivity programs and our commitment to service and clinical excellence. Our approach is moving from selling products to engaging with clients to design programs to improve health and productivity, many of which are dynamic in nature. I'll highlight just 2 components that I mentioned. First, actionable information. We excel at analyzing data on clients and prospective clients. Their health profiles, productivity profiles, employee engagement levels, the effectiveness of communication programs and the impact of incentives and disincentives. We then match up utilization, quality and outcome indicators. And now with all that in hand, we design, manage and evolve specific programs to generate superior service, quality and cost outcomes. Let me provide an example to bridge to a second component of our success, our health and productivity programs. CIGNA's Your Health First chronic care program is an industry breakthrough moving from siloed, fractured engagement to whole person partnership, consultation and coaching. As you know, chronic disease continues to grow. Today, up to 30% of the population are impacted by diseases, including asthma and diabetes. Our new program is a great example of innovation and consultation for the benefit of our customers and clients. Early results indicate tremendous demand from clients and truly outstanding engagement and outcome levels for the most innovative customers and clients. And by the end of the year, we expect participation in this program to more than triple to over 1 million members. We believe that this consultative partnership approach is especially critical in the current environment, where several dynamics, including growing demand for personalized services, regulatory changes, continued economic and cost pressures, eroding health status and heightened transparency will continue to shift the focus from sick care insurance to high-value health and productivity programs. So in summary, our approach to consultative selling, coupled with our health, productivity and wellness programs enables us to engage employers, individuals and health care professionals to drive better health, improve productivity and therefore, lower costs. The second major aspect of our U.S. business success is our commitment to choice, transparency and quality. As an example, I'll use our broad and proven experience with ASO, or self-insured programs, to demonstrate how we leverage choice, transparency and quality to deliver differentiated results over time. I would note that when we harness the power of our consultative selling approach, our ASO programs have consistently benefited from very good adoption rates with our specialty health care programs, including pharmacy, behavioral and dental. And over the last few years, we're seeing more and more interest in programs that leverage information, integration and incentives to take customer engagement to a higher level. As a result, the individual takes even more ownership in driving improvements in his or her health. For example, take our CIGNA Choice Fund offering, which represents our consumer directive programs, most of which are fully transparent ASO programs. Here, levels of employer participation have doubled over the past 2 years, and we've demonstrated that these programs deliver results. As we've discussed before, results from our 5-year Choice Fund study show that when individuals are more engaged, levels of preventive care go up, many gaps in care are closed and costs come down. That's right. Health improves and costs come down. I'll give you another example of our innovative clinical solution that sets CIGNA apart. Our Integrated Personal Health Team is a program that combines all clinical management resources for the needs of the healthy, the healthy at risk, the chronic and those with acute conditions to the needs of those who are actively employed to those who are disabled, and it combines them into 1 single team so that our customers have 1 point of contact. Powered by the right programs, staffed with the right people and enabled by transparent information and incentives, we've been able to increase individual engagement through personalized coaches that leverage touch points between the individual customers and their health care professionals. This engagement is all about connecting individuals to the right programs that will meet their specific health needs. For example, within this program, 72% of individuals with chronic conditions were identified for additional health improvement opportunities, 72%. As for clinical results, participation in CIGNA's Integrated Personal Health Team is improving health outcomes, and resulting in lower costs. In these programs, we're seeing a 12% reduction in specialty office visits, a 2% decline in overall hospital admissions and better clinical compliance. For example, a 10% improvement in blood glucose testing for obese individuals. Now to recap. To appreciate the power of our ASO or self-funded model, one has to recognize that our model is not just a financing vehicle. It's a value delivery system, anchored in integrated programs and services. As a result, we continue to drive retention levels of approximately 90% across all our segments. We are delivering good organic membership growth in targeted geographies and market segments and we continue to drive attractive cross-selling results. More broadly, our ASO model has been tested and has delivered solid results, in times of accelerating and decelerating medical cost trends, in thriving economies and in weaker economies and in environments of regulatory change. Looking forward, we see even more demand for ASO programs with advanced engagement and incentive programs, along with very targeted integrated specialty and productivity programs. As employers respond, taking on pressures and regulatory changes, the commercial marketplace will continue to evolve. Employers will continue to switch from the less transparent, fully insured programs to more transparent ASO arrangements. We've already seen a healthy appetite for this shift. For example, within our Select segment, the proportion of sales and self-funded arrangements has increased substantially and now represent over 50% of our new business. In this environment, we continue to seize on the opportunity, given our philosophical commitment to choice, transparency and quality, our unique capabilities and differentiated approach to consultative selling across all of our customer segments. So overall we have a proven track record of success in the U.S. businesses. Our customer-centric model is anchored by a consultative sales approach and an integrated solution set that is focused on improving health and productivity, and this approach will remain key to our current business segments. As we look to the future, we will continue to expand on the very personal relationships we are building with our customers and we will further accelerate our focus on providing enduring customer value. We believe this will be an important differentiator, as individuals continue to assume more responsibility and as exchanges are offered in 2014 and beyond. At CIGNA, we fully recognize that the development of the exchanges is currently a fluid process and several items remain unclear, including the breadth of adoption space [ph] , the business models and the subsidy levels, given the state and federal budget pressures and definite challenges, just to name a few. Now a perfect clarity around these items does not exist. At CIGNA, we continue to actively build and leverage our growing individual relationships and global capabilities, particularly in our Health, Life and Accident business, which gives us significant experience in direct-to-consumer distribution, as evidenced with almost 7 million policies in force. Product and distribution innovation is at the core of this business and we believe it will serve us well in the U.S. in a post-2014 environment. Now before I turn it over to Tom, I want to reiterate just a few points. Our first quarter results are strong and reflect continued effective execution of our growth strategy and they build on a strong 2010. I'm proud of what the CIGNA team has delivered and how we work every day to improve the health, well-being and sense of security of the individuals we serve. I'm confident in our ability to achieve our full year 2011 strategic financial and operating goals. And finally, our company is positioned for sustained profitable growth over the long term, as we seek to provide enduring customer value in this very dynamic marketplace. With that, I'll turn the call over to Tom.
Thomas McCarthy: Thanks, David. Good morning, everyone. In my remarks today, I will review CIGNA's first quarter 2011 results, link these results to our growth strategy and provide an update to our full year outlook. In my review of consolidated and segment results, I will comment on adjusted income from operations. This is shareholders net income, excluding realized investment results, GMIB results and special items. This is also the basis on which I'll provide earnings outlook. Our first quarter consolidated revenues grew to $5.4 billion. This is an increase of 8% over the first quarter of 2010, after excluding the impact of our planned exit from the individual Medicare Private Fee-for-Service business and reflects solid growth in each of our targeted market segments. Our first quarter consolidated earnings were $375 million or $1.37 per share, which represents an increase of 33% and 36%, respectively, over the first quarter of 2010. These results reflect the strength of our global diversified portfolio of businesses and continued solid execution of our growth strategy. In Health Care, first quarter 2011 premiums and fees grew 6% on a quarter-over-quarter basis, excluding the impact of the exited business. This reflects continued membership growth in our targeted customer segments and increased specialty penetration. First quarter earnings for Health Care were $246 million, including the impact of favorable prior claim development and sustained growth. We reported year-to-date membership growth of approximately 1%, adjusting for the planned nonstrategic exits, reflecting strong demand for our ASO products and continued growth in the targeted middle-market and select customer segments. In these segments, as David mentioned, we also benefit from integrated sales of our specialty products, which deliver a strong integrated value proposition to our customers and also contribute attractive margins. Turning now to medical costs. In the quarter, we continue to deliver attractive medical costs and sustained clinical quality for our clients and customers. Medical costs also reflect the impact of the sector wide, low level of medical utilization trend. Across our risk book of business, our first quarter medical costs included favorable prior year claim development of $22 million after-tax. Specific to guaranteed costs, our medical care ratio or MCR was 77.3% on a reported basis or 80.2%, excluding prior year claim development. This includes the effect of recording the first quarter rebate accrual related to the minimum loss ratio requirements. Results to date in our risk businesses continue to reflect good pricing and underwriting discipline. ASO results in the quarter reflect continued membership growth, particularly in the targeted middle-market and select segments and strong contributions from our specialty businesses, with ASO fees up 6%. Our alternative funding solutions are receiving increased interest from clients and we expect they will be attractive to a growing share of the employer market. We also believe our consultative selling approach, combined with our diversified portfolio and focus on choice, transparency and service and clinical quality positions us well to meet the evolving health needs of customers and clients. As part of our long-term strategy, we continue to focus on improving our operating expenses through a combination of expense efficiencies and business growth while maintaining our commitment to strong service levels and clinical excellence and funding strategic investments. For the first quarter of 2011, medical operating expenses were slightly down versus the first quarter of 2010. We reported a total operating expense ratio in the quarter of 27.1%, which is 20 basis points lower than the same period of 2010, after excluding the exited business. Now we'll discuss the results of our other segments. Within the Group Disability and Life segment, results in the quarter were strong overall as this business continues to deliver attractive margins, while providing value to our customers and clients, who are differentiated disability management model. Premiums and fees grew 4% quarter-over-quarter, including 9% growth in our Disability business, a key area of focus in our growth strategy. First quarter earnings in our Group business were $77 million. This includes the impact of favorable life and exit claims experience, as well as the net favorable impact of $6 million after-tax related to a reserve study completed during the quarter, on our Group Life business. Turning now to the International segment. This business continues to deliver very attractive growth and strong margins, as we continue to execute our strategy and capitalize on both the expanding global middle class and the increasing market for expatriate benefits. Premiums and fees grew 32% quarter-over-quarter driven by strong customer retention and solid new sales within the health, life and accident and expatriate benefits businesses, including contributions from Vanbreda International. This top line growth drove very strong earnings of $77 million in the first quarter. I would note that our first quarter 2010 results included a favorable adjustment of $5 million after-tax, related to the implementation of a capital management strategy. Results for our remaining operations, including Run-off Reinsurance, Other Operations and Corporate, totaled to a loss of $25 million for the quarter. This includes breakeven results for Run-off Reinsurance. To recap, our first quarter results were strong, reflecting solid revenue and earnings growth from each of our ongoing businesses. Turning to our investment portfolio. Results in the quarter included a strong net investment income result and net realized investment gain of $17 million after-tax. There were no investment impairments recorded in the quarter and our commercial mortgage loan portfolio continues to perform well. Overall, we continue to be pleased with the quality and diversification of our investment portfolio. Our strong investment management capabilities and disciplined approach to risk management have delivered attractive risk-adjusted returns for our clients and shareholders. Before I shift to our earnings and capital management outlook, I would note that operating cash flows for the first quarter were impacted by a few items, including claim runout for the exited Private Fee for Service business and an accelerated pension plan contribution. Now turning to our outlook. Based on the strength of our first quarter results, we now expect full year 2011 consolidated adjusted income from operations of $1.275 billion to $1.365 billion. This range is $75 million to $85 million higher than our previous expectations and reflects an increase in outlook for each of our ongoing businesses. We now expect full year earnings per share in the range of $4.65 to $5 per share, which is an improvement of $0.30 to $0.35 per share over our previous expectations. This earnings per share outlook does not include the impact of future share repurchase activity. I will now discuss the components of our 2011 outlook, starting with Health Care. We now expect full year Health Care earnings in the range of $860 million to $900 million, which is an improvement of $40 million to $60 million from our previous expectations. This improvement reflects a favorable prior year claim development recognized in the first quarter and continued effective execution of our growth strategy. We remain on track to deliver a full year total Health Care operating expense ratio of 26.5% to 27% and medical operating expenses of $235 to $240 per member per year, while continuing to invest in technology and service capabilities to support ongoing growth. Relative to medical membership, we expect full year 2011 membership growth of 1% to 3%, excluding the planned non-strategic market exits. I would also reinforce that new business pricing and the renewal rate actions we're obtaining as we grow our business are consistent with our expectations. Turning to medical costs, for our guaranteed cost book of business, we now expect the full year MCR to be in the range of 81% to 82%, which is 100 basis points lower than our previous expectations and includes the benefit of the first quarter prior year claim development. We expect our full year medical cost trend for our total book of business to be in the range of 6% to 7%, which is 100 basis points lower than our previous range. Now moving to the other components of our outlook. We expect full year earnings from International to be in the range of $275 million to $295 million, which is a $15 million increase over our previous range. Regarding Disability and Life business, we expect full year earnings to also be in the range of $275 million to $295 million, which is $5 million higher than our previous expectations. The outlook for our remaining operations, including Run-off Reinsurance, Other Operations and Corporate is expected to be a loss of approximately $125 million to $135 million. This assumes breakeven results for the full year for VADBe. So all in, for full year 2011, we now expect consolidated adjusted income from operations of $1.275 billion to $1.365 billion and consolidated earnings per share in the range of $4.65 to $5 per share. I will now discuss our capital management conditions and outlook. We continue to have a strong balance sheet and good financial flexibility. Our subsidiaries are generating significant free cash flow to the parent, reflecting the strong return on capital in each of our ongoing businesses. Regarding parent company liquidity, we ended the quarter with cash and short-term investments at the parent of $790 million. During the first quarter, we repurchased 3.9 million shares of CIGNA's common stock and we subsequently repurchased an additional 1 million shares through May 4. Year-to-date, we have repurchased 4.9 million shares of stock for approximately $210 million. As discussed at our Investor Day, during the first quarter, we funded an incremental $150 million to capitalize our Arbor subsidiary in support of our Run-off Reinsurance business. This brings our year-to-date capital deployment to $360 million. For full year 2011, after considering subsidiary dividends, pension contributions and other sources and uses, we continue to expect to have approximately $1.1 billion available for capital deployment to deliver sustainable value for the benefit of customers and shareholders. This provides us with $740 million for deployment over the balance of the year after considering the $360 million already deployed. Our capital deployment strategy remains unchanged. We will prioritize our capital to: First, provide the capital necessary to support the growth of our ongoing operations, our pension plan funding and our Run-off Reinsurance business; second, we will consider M&A activity with the focus on acquiring capabilities in scale; and finally, after considering these first 2 items, we would return capital to investors, primarily through share repurchase. As we look to the future, we will continue to evaluate each of these levers to ensure we deliver sustainable value for the benefit of our customers and shareholders. Overall, our capital position and outlook remain positive. Now to recap. Our first quarter 2011 consolidated results reflect the strength of our global diversified portfolio of businesses, our focus on enduring customer value and continued effective execution of our growth strategy, with solid revenue growth in our targeted customer segments. We are focusing on improving our financial flexibility through ongoing cost reduction efforts and effective capital deployment. We have a healthy capital position and our investment portfolio is delivering strong results. Finally, we are confident in our ability to achieve our full year 2011 earnings outlook. With that, we will turn it over to the operator for the Q&A portion of the call.
Operator: [Operator Instructions] And our first question will come from Matt Borsch with Goldman Sachs.
Matthew Borsch - Goldman Sachs Group Inc.: Could you just talk about what you see in the pricing environment, to the extent you can separate both the risk side and the ASO side and specifically, your own pricing which a couple of competitors seem to feel was aggressive although frankly on the risk side, the enrollment results wouldn't suggest that?
David Cordani: It's David. From a broad standpoint or from a pricing environment, we don't see any change, any material change in the environment. So it is indeed a competitive marketplace. It remains a competitive marketplace. And we think the real premium in the marketplace is really on focus and discipline. My second point would be, if you look over the last 2 to 3 years, our pricing discipline and the consistency of our retention, pricing execution, rate execution, has been quite good. And my third point would be around the notion of focus. Our progress here before has been really around the Go Deep strategy, which is focusing on key geographies and buying segments. And overall, from a CIGNA standpoint, we were pleased with both the rate execution, the success of our cross-selling initiatives and the resulting retention rates and new business sales we've been able to secure. So the overall market place from our point of view is competitive and the quality of what we've been able to secure is quite good.
Matthew Borsch - Goldman Sachs Group Inc.: Just as a follow up, on the cost side. Where did you see the utilization or unit price lower than expected in the first quarter and are you carrying any of that through to your outlook for the back 9 months of the year?
David Cordani: Matthew, it's David. I'll start more broadly, and ask Tom to embellish more specifically. Going to the medical cost side and the costs contracting utilization side, first and foremost from a contracting standpoint, the contracts we've been able to secure, thus far, for 2011 are in line with our expectations and I see that more again of a consistency of what we were able to secure in 2010. Our ability to focus, our ability to partner with physicians and hospital systems, our ability to lever information and incentive alignment is working for us in the marketplace. To your more specific question, I'll ask Tom to embellish on, "Yes there is, again, a continuation of a slight dampening of the overall utilization trend". And I'll ask Tom to embellish on that a little bit.
Thomas McCarthy: So Matt, as David mentioned, medical services utilization trend did remain low in the first quarter. There were some normalization of flu activity again, first quarter 2010 was extraordinary low so we've got generally more normal levels there. But we are anticipating that normalization, utilization would normalize -- begin to normalize over the balance of the year so I'd expect to see some uptick there, but first quarter continued at below trend level that we saw earlier.
Operator: We will go next to Josh Raskin with Barclays Capital.
Joshua Raskin - Barclays Capital: The question relates to the outlook in the Health Care segment. Just looking at the first quarter, Health Care earnings were up almost 50% and even if you take out the development, it was still almost 35%. And yet the guidance for the full year is sort of flat, up maybe 5%. So I was wondering, what are some of the drivers that seasonality--and maybe you could touch on was there sort of outside impact or is there expected impact of rebates being larger in the second half, I guess, I'll be surprised just based on the accounting you guys are choosing for the rebates?
Thomas McCarthy: It's Tom, Josh. Yes, so first, your last observation, I wouldn't point to the rebate dynamic as a factor in that. First, there's a lot of moving pieces. And again, we have provided a range and you could annualize the results and get close into that range. But really there's 2 major drivers that I'd point to in considering the balance of the year: One, we've already talked about a little bit and that's we are expecting a little uptick in the utilization trend, so that would put some pressure on the last half of the year; and second, we do expect some seasonality from the deductible impact on the book of business. And again, we've had more sales of that types of products that have higher deductible so we will expect to see a little bit more of that in the last half of the year. That said, this is a range results and we hope to end up at the higher end. But it's a little early to be making a call on that.
Joshua Raskin - Barclays Capital: I guess, let me ask another question. The expectation around seasonality, or even the uptick in utilization, I mean if you take the first quarter run rate, you take out development, you assume a full year it's almost $900 million so, and if you look historically, the first quarter has been a weaker quarter. So is there something that's changed or is this just really more around we're expecting normal utilization in the next 3 quarters?
Thomas McCarthy: I don't think there's anything fundamental that's changed. I think it really is just the moving pieces and the dynamics for the business. And obviously, medical trend has been a key factor over the last few quarters.
Joshua Raskin - Barclays Capital: Just on the rebates, just to follow up, are you guys still accruing sort of as experience or sort of actual as opposed to sort of a year-to-date method?
Thomas McCarthy: Yes.
Joshua Raskin - Barclays Capital: And is that material in the quarter?
Thomas McCarthy: Well, in the first quarter. We accrued $10 million based on the actual results. And that's generally $10 million after-tax and that's generally in line with our expectations. And going forward, we're not really anticipating any significant surprises. I probably would rather not get into commenting on the full year outlook, given there are so many moving pieces. But again, we're not expecting any surprises.
Operator: We will go next to John Rex with JPMorgan.
John Rex - JP Morgan Chase & Co: I Just want to come back again to the percent of self-funded fees that are risk, I mean it's just one of this persistent market commentary factors that we can't seem to--can't seem to kill. So your competitors are talking about this, so can you maybe approach it this way, is there some way that you think is distinct, unique about how you're approaching new business that perhaps the market is misperceiving. Just because you have 5 like the percent of your fees at risk, I think you said 12% that's kind of in line with what we've seen general in the market, I'm trying to understand why this thing stays alive so consistently?
David Cordani: Well, let me--few comments here. First and foremost, as you very well know, the bulk of our business, 80% of our business is ASO. We understand that business. We've understood it for quite some time. We expanded the capabilities through the Great-West acquisition to be very successful in the Select segment with that portfolio, too. As you know, a key part of our strategy has been and continues to be to lever a very broad suite of specialty programs and services and go to the market with a bundled offering. And third, to my prepared remarks, we try to piece out really a bit of a differentiator here and that's the consultative selling. So it's not an environment where you go through and try to push product, rather you try to use information specifically tailored to that customer's experiential set, business strategy understanding their culture and make targeted recommendations on which subset of a specialty product suite makes sense. And so you put that package of offerings together that we believe we're able to demonstrate a very good value proposition for the client and their employees or customers. And then engender a good return from the shareholder perspective. To your specific points, you're correct, you have a great memory. Our percent of fees at risk have been and continue to range in the 10% to 15% range. Being a long-standing player in the ASO space, there's always been fees at risk ranging from basic service and client management to clinical engagement to medical trend components and I'll put the number back out there. Our fees at risk as a percentage of total fees, medical trend are about 1%. So we're comfortable with where we are for this portfolio. It is a dynamic marketplace, but we believe our focus and the diversity of our both funding solutions and specialty products are servicing us well and will in the future.
John Rex - JP Morgan Chase & Co: And when you spike out the Select segment, so I think the 50 to 250 segment in terms of 50% of your new sales are ASO. And can you tell me, so when you get down to that level, that small of a case size, does it really behave much differently than it had been at at-ris,k, a full at-risk product? I would assume at that point that the stop-loss PMPMs that you're selling through also you get to a point where kind of the premium, the at-risk component that was premium is not that different than a fully insured product. Is it that different?
David Cordani: Well, first and foremost when you look at that segment, you hear me say over and over "We're not trying to be all thing to all people", number one, we're not pretending that the ASO stop-loss solution is the perfect solution for every employer in the 50 to 250 space, so focus and segmentation is very important there and a part of that is partnering with the right brokers, I'm in the market to identify those employers who are oriented around these types of solutions who want transparency and want a more aligned incentives. Now to your more specific question, on an all-in basis, when you look at the revenue contribution to us, the revenue contribution's slightly less, but not acutely less than a guaranteed cost piece of business when you look at the margin and the return, the margin and the return is attractive. And very importantly, to the employer and then to their employees. It's a better overall, kind of, price point and more transparency in terms of what's moving the medical costs. So again, we understand the funding mechanism. We understand that market. We're focused on key geographies and we're seeing increased progress in that 51 to 250 Life Employer segment.
Operator: We will go next to Justin Lake with UBS.
Justin Lake - UBS Investment Bank: First, just want to talk about the experience rate book. If you can give us any color on what the MLR looked like in the quarter and maybe compare it to the previous year? And then given the decline in trends, I thought it might be helpful in this book to get an update, in terms of maybe the percentage of accounts that was in position and in total dollars of deficits versus the year ago period?
Thomas McCarthy: Sure, Justin, it's Tom. Just a couple of things. We don't jointly disclose the specific loss ratio and experience rate, but I can tell you that, like the rest of the book, it is down a little bit. So there's no surprises there. To your more specific questions, we continue to have a little less than 40% of the accounts in deficit, that's consistent with what we've had over the last few quarters. And the deficit amounts actually declined a little bit. They were $138 million at year end and they are now down to $126 million.
David Cordani: And it's within our expectations.
Justin Lake - UBS Investment Bank: A quick follow up on the question around fees at risk. Would it be fair to say that where you are willing to maybe put fees at risk around medical cost trends, is that typically in the large end of the National Accounts segment. David, maybe you can just give us an idea, what I hear from the result [ph] is that there is a kind of dividing line between the true--the larger side of national accounts, where they might be able to negotiate those fees at risk for a medical cost trends and then kind of the more middle market or smaller international accounts. Is that right?
David Cordani: Justin, for us really the dividing line in the limited number of cases where we would do that is less size, I'll come back to size in a moment, and it's more of the philosophy and the comprehensiveness of the programs. The transparency of the information, our understanding of the case. And then the kind of commitment to a multi-year approach. So let me just expand on that for a moment. So if you have an employer, and I'll give you 2 examples, whether it's a 20,000 life employer or 150,000 life employer, there is an opportunity, if necessary, to put in place a more sophisticated guarantee, as I noted before, they're very limited in our portfolio. But if you have good visibility, whether it's an incumbent account or a new prospect, in terms of their underlying health profile utilization trends and adequate access to all the levers necessary to generate a superior outcome, engagement, incentive, communication, network configuration, et cetera, that presents the opportunity. Now to your hypothesis, that typically would take place with a larger on-average case but I would just limit you not to think it's not just the 250,000 life employer who might approach you with something like that. It's an employer who, again, is much more sophisticated, looking at a multi-year run going forward. Most importantly for us, it's a very limited use tool and with the employers that we have a deep intimacy of knowledge of.
Justin Lake - UBS Investment Bank: Maybe a different way to put a number on the question would just be to say, maybe if you can give us the number or the percentage, I should say, of your ASO membership that has an explicit guarantee around medical cost trend?
David Cordani: Justin, I'm not going to frame it that way because to my mind, it's not as relevant of a data point, in all due respect. As I noted, it's about 1% and has been about 1% of total fees at risk, number one. Number two, we've been in this business for a very long period of time. Three, you would assume that they're designed with kind of corridors and parameters. And finally, knock on wood, we have a track record and a history of limited impact to us of those programs, so what's important about that is it means we're delivering on our promise to our clients, which is what the objective is. Our client does not want to collect on a guarantee, unless we want to pay out in a guarantee, we want to deliver on that promise. But I would anchor you back to, it's a small portion of the portfolio, as best measured in 1% of total fees at risk.
Operator: We will go next to Scott Fidel with Deutsche Bank.
Scott Fidel - Deutsche Bank AG: I wanted to see if you can give us an update on how the M&A pipeline is looking at this point? You've got $740 million of capital remaining here for deployment and now you're probably pretty deep into the integration of Vanbreda. So clearly, there's been some commentary on the market of increased interest among some of the smaller and mid-sized plans, in both the ASO and risk side, in terms of looking to for profits, for consolidation. So just in that context if you can talk about the M&A pipeline and where your priorities for acquisitions would rest at this point.
David Cordani: Scott, it's David. First and foremost, by way of backdrop, as we've said before, we expect the marketplace to continue to have consolidation opportunities; and two, we approach that environment with a view that we actually like our current portfolio, the diversity and breadth of our portfolio. Having said that, as you recall, part of our strategy when we rolled out our strategy at Investor Day a couple of years ago, with the drive, acute focus to the Go Deep part of our strategy, but also to identify additional growth opportunities and we would be open to M&A to support that. By way of types of acquisitions we'd be attracted to, you could put them in 2 camps. One would be scale, so for the scale to support our Go Deep strategy. The second would be capabilities. In capabilities we think about product capabilities or segment capabilities. Product capabilities could be further broadening our supplemental suite of offerings or further broadening of the breadth of product solutions within our Health, Life and Accident portfolio abroad. By way of segments, you can think about broader capabilities for seniors. I would note that over the past years, several years, we have a good track record of being very focused and very targeted, whether they be smaller acquisitions like some of the tuck-in health advocacy acquisitions we've been able to secure, what we would call medium-size acquisitions like the very attractive Vanbreda asset or the targeted large-sized acquisitions like our successful integration and building on of a Great-West. So we do see a consolidating marketplace out there and we do see opportunities both in the scale and capability space.
Scott Fidel - Deutsche Bank AG: I just wanted to ask a follow-up question just on the Pharmacy business. It looks like enrollment declined by around 5% year-over-year and enrollment in the overall book of business expanded by around 1%. And you did have growth in all your other specialty businesses. So I just wanted to get a sense of how confident you are that you think you can get the Pharmacy business back to growth in 2012 and if not, are you still willing to consider strategic options for the PBM at this point?
David Cordani: Scott, it's David again. So relative to the PBM, we continue to view it as a very valuable asset and an important part of our ongoing debt-integrated value proposition. We have seen good success and expect to continue to see good success with our Select segment customers, with our middle market customers, and for the larger employers, those oriented around in incentive and engagement-based capabilities. Now we do believe that there are some additional value creators here. For example, in the space of specialty pharmaceuticals and the ability to both coordinate that specific specialty, but also increasingly within the medical benefit portfolio. And we're open to targeted opportunities to further accelerate our ability to capture that value. My final comment would be, to your broad point, as we repositioned our national account portfolio, the expected loss in national account medical lives is also correlated to a somewhat directional loss in the PBM lives and looking forward, as we oriented around select, middle and those national account customers that are oriented around engagement and incentive, we think you'll see a little different pattern in the PBM Life on a go forward basis.
Operator: We'll go next to Charles Boorady with Crédit Suisse.
Charles Boorady - Crédit Suisse AG: My question, like a few others, relates to the self funding of small employers with stop-loss. And you've been accused by competitors of underpricing in that product and we heard a few questions today related to that, but when I talk to brokers about it who actually sell the product, they say it's actually apples and oranges because it's inherently a less expensive product and that's why it can be priced lower. So is that correct? Is it inherently a less expensive product? And if so, where is that savings or arbitrage coming from? Is it that the employer's basically accepting more risk in those arrangements?
David Cordani: Charles, I'll start and see if Tom wants to add. Good morning. First and foremost, I think you hit the nail on the head broadly. At the end of the day, look with the Select segment for a moment and go into the history of the bread and butter Middle Market segment. An apples-to-apples comparison, of a guaranteed cost offering versus an ASO stop-loss offering has a different aggregate price point, it fundamentally does. And inherent in that, it's a more transparent product that has a little different risk sharing protocol. Now as you go down market, the risk sharing shifts a little bit but the employer is taking on a bit more accountability for that risk, which is why to my prior answer, this product is not all things to every employer in the Select segment. That consultative selling, that working very collaboratively with the broker and making sure we're pinpointing those employers that is indeed makes sense for us, is very important. But what you're doing is you're taking a bit of the risk premium out of the equation. And for us, we like the overall return on that product portfolio because: number one, we understand how to do ASO and stop-loss; but number two, it's highly packaged with our broad portfolio of specialty capabilities. So on an all-in basis, we get a good value proposition for the employer. We feed it with ongoing transparency of information even for 100, 150 life employer that historically they would not see and you treat that portfolio of services in a bit more dynamic way going forward, but your macro conclusion is the right one.
Thomas McCarthy: I'd just follow on a couple things there, Charles, just to state the obvious. Obviously with the employer taking more risk, that means less risk for us, that means less capital deployed against the business. And in fact, the dynamics that work here are the risk charge in dollars is less because we're taking less risk, so that's the benefit to the employer. Of course, they're taking the risk. But the margins and the return on capital are actually higher. So it's an attractive opportunity for us. The other thing I would point out that customers that select this kind of program tend to be the kind of customer that are willing to try and attack medical costs. So it, again, aligns our interest and positions people to want to take advantage of the capabilities we offer and that doesn't always happen in this segment. So we have a good alignment of interests.
Charles Boorady - Crédit Suisse AG: Your competitors, by the way, are less vocal about your underpricing and one of them just announced an acquisition, too. Getting in this business is a testament to how well you're doing and the strategy. My second question is, are there any statutory regulatory limits to the amount of stop-loss you can provide before an insurance commissioner would say "This quacks like a duck and therefore, it's an ensured product" and starts to regulate it as such?
David Cordani: Charles, the broad answer is yes. And again this product portfolio which we built on off of the Great-West acquisition is a state-by-state approach. The important framework is that state-by-state, it feeds up against our Go Deep strategy, and most importantly, it's highly transparent. So the overall nature of the program, both with the regulators, as well as the employers is highly transparent. And we treat it as a dynamic portfolio but the broad answer to that is yes.
Operator: We will go next to Ana Gupte with Sanford Bernstein.
Ana Gupte - Sanford C. Bernstein & Co., Inc.: Just to again to follow up on the ASO thing, when you saw the Prodigy acquisition, can you give us your perspective? You did one, way back when, compared to Great-West sort of what are your thoughts at the time you acquired Great-West and then after that merger?
David Cordani: Ana, well first on the broad topic of consolidation as I referenced, I think, to Scott's prior question, we think the marketplace is going to continue to consolidate. So before I get to more specifics, the capabilities necessary to compete and deliver health improvement, a productivity improvement, deal with regulatory compliance, invest in the technology, et cetera, we think are all going to be fuel to further consolidation, number one. Number two, not to speak about a different asset, but to speak more specifically about what we did with Great-West, I would not compare Great-West to a TPA, in any way, shape, or form. Our attraction to Great-West was we saw a well-run, highly focused business that had deep and broad talent that was based on a model that we believe is correct, which was information-based, consultative and highly transparent. So our orientation on Great-West was we did not see nor do see it as a TPA. We saw it as a set of capabilities that was successful in the lower end of the middle market, probably has some success in the higher end of the middle market, but also in the Select segment, by doing what we were doing in national accounts in the higher end of the middle market, which was to use information, to be very targeted, to be very consultative, to partner with brokers and try to deliver value. And that infrastructure, the information infrastructure, the talent, the products, the distribution was what was attractive to us, and those type of assets don't come along every day. So our Select segment success I think demonstrates that we're able to successfully build on that, and as we look to future acquisitions, we will look to capabilities like that, that we believe we could build upon.
Ana Gupte - Sanford C. Bernstein & Co., Inc.: And then looking forward into 2012, are you seeing an uptick in interest that seems to be a lot of controversy? the brokers tell me that there is a fair bit of uptick in employers' interest to try to avoid the excised taxes and so on, getting into 2014 but your peers are not all aligned on that?
David Cordani: Just broadly on 2012. So our view into 2012 right now is both, I would say, tone and posture and direction with brokers and more of the middle-market employers and early dialogue with Select segment employers and clearly, we're in the early innings of the national account buying season. Ana, I wouldn't put it in the category of excise tax. I don't think that is the fuel that drives the current market posture. The fuel that's really driving the market posture is, no matter how we slice it we have an environment where there's a lack of affordability for employers, for state governments, for the federal government and for individuals. And more than ever, we see buyers, and in this case employers, more open to different solutions that will help to mute or dampen the rate of medical cost acceleration and they're approaching the conversation with much more openness to different tools. It could be ASO where ASO didn't exist, it could be incentives, where incentives didn't exist, it could be incentives and disincentives, on-site clinicians, et cetera. That's really the environment we see and if you look at, for example, aligned with the emergence of our national account pipeline for 2012, the percent of the business we're looking at that has incentive-based, engagement-based, wellness and productivity-based solutions, is much higher than we've ever seen before. So we think that's the continuum of what's happening in the marketplace, as we're able to post and others were able to post success with good value there.
Ana Gupte - Sanford C. Bernstein & Co., Inc.: Just to wrap it up then to your earlier commentary around exchanges, we're now a year into reform, are you seeing a change in employers? Do they feel more empowered to address all of this affordability concerns with things like Great-West or are they just throwing the towel and saying, "Hey, I'm just waiting for 2014 and I'll dump my workers in there"?
David Cordani: Ana, relative to the exchange environment, clearly, a dynamic environment and a lot happening in the marketplace, as I noted in my prepared comments. There's also a lot of uncertainties that remains, as each individual state goes through their own preparatory process to configure exchanges. Secondly, I think what employers are doing, broadly speaking, is recognizing that there are very few silver bullets in life. And in the case of health care costs, exchanges as well don't present per se a silver bullet, I might exempt from that under 50 life employers, where you might see a broader appetite relative to the exchanges. So what we do see is a broader appetite to learn what a post-exchange environment would look like, a broader appetite, to put in place a multi-year benefit strategy, to afford employers options, options to broaden their incentive-based programs, options to potentially look at more defined contribution-based strategies over time, options to be in position to consider exchanges down the road to the extent they're vibrant. But I've seen less of an interest or desire to unilaterally view that 2014 as an immediate step-out function for large and medium-sized employers.
Operator: We'll go next to Christine Arnold with Cowen and Company.
Christine Arnold - Cowen and Company, LLC: As we continue to come and go downstream and some of these products look a little bit more like fully insured even though they're self insured, can you help us understand what you look at in order to predict medical trend? It seems like you're anticipating an uptick in trend but not seeing it so confirm that and what are your leading indicators here, and also could you give us the prior period development by product?
David Cordani: Christine, let me start on the macro and then I'll ask Tom to talk about some of what we look at, the prior period development, et cetera. I heard your question 2 different ways in terms of what we look at to predict trend, down market and then what we look at to predict the utilization indicators. I'm going to go more broadly at the -- as we work with employers, as I referenced in my prepared remarks, we look at a lot of information. We have dedicated teams around our national account book of business, our middle-market book of business and our Select book of business that are mining data on a regular basis, to understand what are the utilization patterns, what are the health risk profiles, what are the network-based consumption profiles and how do they align with our forward-looking projections. Our ability to project that over the recent few years has been pretty good, pretty consistent and our rate execution that supported that has also been pretty good and pretty consistent. As it relates to looking forward from utilization standpoint, I'll transition to Tom, but what we have seen is a, throughout 2010 and early 2011, a little bit more of a dampening of the rate of acceleration and utilization and we've just been cautious relative to that not being able to pinpoint any one cause as to why it will remain there. So our forward-looking projections are assuming a little bit of an uptick. And with that, I'll transition to Tom.
Thomas McCarthy: Christine, the question was really focused on how we price the lower level accounts, I'll just point out that in our typical ASO model starting at the highest, the largest accounts, we rely heavily on account's experience and as we continue to -- understanding the account's loss experience -- and as we continue to move down in size, we give it a blend of understanding the account loss experience and our overall book of business. So when you get to smaller accounts, you can't necessarily rely on their experiences as much but it's still a factor. So it's a wide range of things that we would look at. And again, it reinforces back to the transparent model, understanding the results, understanding what network decline it might have been in, what network will be coming through, all that kind of stuff. As far as what we look to for indicators of the future in utilization trends, that's a really interesting question. Obviously we have an awful lot of data that we can track in the recent past and we certainly mine that to try and understand what dynamics we're seeing, again, looking at the components inpatient, outpatient, pharmacy, the professional [ph] . More likely though, we're going to be looking -- we're going to be making judgments on whether in fact some of this impact was related to the economy or just a change in consumption pattern, and be looking for indications along those lines. Either to validate or refute any of those theories and as we pointed out, our expectation is that we expect utilization to continue to start to get back to a more normal trend, but we'll continue to watch that through the balance of the year.
Christine Arnold - Cowen and Company, LLC: And has acuity increased? Some of your competitors suggested it did.
Thomas McCarthy: Pardon me?
Christine Arnold - Cowen and Company, LLC: Has acuity increased like fewer admits, longer stays?
Thomas McCarthy: I don't know that we've seen anything that particular there.
Christine Arnold - Cowen and Company, LLC: And then the corporate [ph] development please?
David Cordani: The only thing I would add on the acuity over time as we talked over the last couple of years, we'd referenced that acuity has increased so Tom's point is right in the quarter. But as inpatient days have more moderated and outpatient services have continued to evolve, your rule of thumb, I think, is correct. But that's taking place over time, as a consequent, we wouldn't pinpoint it as a first quarter phenomenon. On PYD? PYD [prior year development], I'd keep simple. Essentially all of it was in the guaranteed cost block, there was a little bit of puts and take in the other blocks but it essentially ended up all on the guarantee cost block.
Christine Arnold - Cowen and Company, LLC: Perfect. It looks like you didn't releases reserves for the Medicare Advantage book and you're keeping that elevated until the runout is complete?
Thomas McCarthy: Yes, we've continued -- we'd expect to follow that through the normal pattern.
Operator: We will go next to Doug Simpson with Morgan Stanley.
Doug Simpson - Morgan Stanley: Just looking at the operating expense number that tracked by our math, it's just under 28% in the quarter, that sort of looking at consolidated OpEx, as a percent of revenue if you peel out the investment income. And that's about in line with where it's been over the last 8, 9 years and obviously there's makeshift issues between fee and risk during that timeframe. But just if you look out a couple of years, given the initiatives you've got going on and the mix as you see it, how do you expect that to trend over the next few years? What's the potential magnitude that we could see in that line?
Thomas McCarthy: It's Tom. I view this as a little bit of a difficult question to answer. As we pointed out, our expense ratio is a function of the mix of business that we're in. Again, we have the heavy weighting towards ASO business, more proportionately there than our competitors and by the nature of that, with that just being fee-based without the loss cost premium, it tends to have a high expense ratio. So we have that 2 dynamics going on here. We are becoming more efficient so we're expecting both through business growth and operating expense efficiencies to report a more efficient result. But whether that shows up as a lower expense ratio, really will depend on what the mix of business does, as we just talked about, if you're anticipating ASO to be a growing portion of our business so on a reported basis, that would tend to push the expense ratio up. So my view is we really need to understand on a mix adjusted basis, what kind of progress are we making and are we becoming more efficient and put that in the context of the expense ratio for our investors and the analysts, so that they can understand whether we're making progress on our expense goal or not.
Doug Simpson - Morgan Stanley: And then maybe just any updated thoughts on the distribution side in the smaller end of the market, any update in what you're seeing, in terms of competitor responses to the new reform rules?
David Cordani: Doug, it's David. Well, my comments will be for 50 life employers and above. As you know, we don't really play in the under 50 life space. And maybe consistent with some of the prior dialog, what we've seen and continue to see is an increasing demand and appetite for ASO programs down market. What we also see is increasing openness to some broader wellness solutions, now you have to really pinpoint it at the highest secure wellness program for our 60 life employer versus a 600 life employer, but the broad theme we've seen is a much higher appetite for ASO solutions. And I commented in my prepared remarks that, for example, in the Select segment, which is 250 down to 50 life employers, our first quarter new business sales were up about 50% in terms of -- or about 50% of that was ASO sales, which is up meaningfully from the first quarter 2010 to reinforce that trend.
Operator: We will go next to Carl McDonald with Citigroup.
Carl McDonald - Citigroup Inc: These are my numbers, I realize your projections may have been a little bit different, but if I look at the Commercial Risk business loss ratios are 450 basis points better than what I was expecting. The overall loss ratio was down 130 basis points versus what I'm expecting. If taking your comment that experience rate loss ratio was down, should I read that there were some pressure somewhere else in the business, either Specialty or Medicare or that just the experience rate loss ratio was down, but just down very minimally?
Thomas McCarthy: Carl, it's Tom. I think it is just a little bit of a seasonality and mix of business. First, we have the Part D loss ratio, which of course we'd expect to be high in the first quarter. And the experience rate of loss ratio tends to be higher, so in your observation that it's -- higher than the average that is, so it's down, but it's still higher than the average, and I really can't give you any more context on that. I tried to understand more of those dynamics and those are really the only observations I have that yes, the experience loss ratio is higher than average, but it is down and yes, we do have a -- as we would expect, a high first quarter Part D ratio.
Carl McDonald - Citigroup Inc: Just a little bit more quantification around the ASO plus stop-loss revenue differentials. If we're thinking about just the base Commercial Risk product is $300 a month -- a base ASO product is $20 a month so basically, whatever, 90% hit to revenue, as you said, it's lower for the Select segment, the ASO fee plus stop- loss but should we think about 10% lower, 50% lower, what's the right magnitude there?
David Cordani: I think that might be a good question to follow up with Ted and the IR team, but that kind of dynamic is really going to depend on an awful lot of things, the attachment point, the coverage declines pies. So it's not our attempt [ph] to answer, but then maybe some follow-up with the IR team would make more sense.
Operator: We will go next to Kevin Fischbeck with Bank of America Merrill Lynch.
Kevin Fischbeck - BofA Merrill Lynch: You talked a bit about the Specialty business kind of adding to the growth in the Commercial business this quarter. And it seems like a lot of companies are focused on that aspect. I just want to get your sense of kind of where we are on a competitive basis in that business, are you seeing any pressure on margins in that business?
David Cordani: Kevin, good morning, it's David. That business, like any other business, has to continue to evolve and innovate . So we've been able to -- I'll give you 2 examples, evolve and innovate our dental offering pretty significantly, in terms of the network configurations, as well as the coordination programs, and as a result, we saw tremendous growth in traction in the Dental portfolio in 2011. A second example of evolving and innovating solutions I referenced Your Health First program, which is a fully integrated whole person coaching module around chronic conditions, which is different than what existed in the marketplace in the past. Through doing that and matching that up against what we talk about, our consultative selling, we've continued to see good traction and support for package for targeted cross-selling. What we have seen is without that, without the very targeted consultative selling, you see pressure. You either see commoditized price pressure or the pressure to not purchase certain services as the economic pressures are confronting employers. Fortunately for us, we've been able to achieve our cross-selling goals and objectives by using the very targeted consultative selling and innovative solutions.
Kevin Fischbeck - BofA Merrill Lynch: So we should think about the Specialty business the same way that we think about the Health Plan business, which is some people focus on discounts, but you guys are able to shine with the customers who value a more holistic view to cost and things like that?
David Cordani: Kevin, that's a good comparator.
Kevin Fischbeck - BofA Merrill Lynch: And then tell me a bit about the International business, obviously the revenue growth was quite strong with acquisition, the margins were down. Is there anything going on there on the margin side besides just maybe some integration costs on Vanbreda, or is there anything -- how should we be thinking about as far as product mix shift or anything going on there?
David Cordani: Kevin, there really isn't anything of note. As you pointed out, the margins by-product are different and the -- especially the early years that Vanbreda had an impact on that, but nothing unusual or out of expectations.
Operator: We will go next to Chris Rigg with Susquehanna Financial Group.
Christian Rigg - Susquehanna Financial Group, LLLP: I have a sort of a follow up on the last question. So in the International segment, is there any reason in particular why we would expect further margin erosion over the balance of the year? Is there seasonality in that business, anything worth pointing out?
Thomas McCarthy: I don't think there's any particular call out there. I would point out, we had very strong persistency results and that does support margin, and there could be some normalization of that over the balance of the year, which is why our outlook doesn't take the first quarter multiplied by 4, but there's not an important underlying dynamic.
Christian Rigg - Susquehanna Financial Group, LLLP: Can you give us a sense for revenues now -- a steady state no new acquisitions that -- what is the longer-term margin profile of your current book in International business, if possible?
David Cordani: Chris, it's David. What we said for International portfolio businesses, we see the ability for sustained double digits top line growth in people's calendar double-digit mean, are you [indiscernible] lower end of the double digit, the answer to that is "no". So mid-teens and above the top line growth for that business. Over time the business has performed with very strong margins. You've seen the margins bounce around a little bit. We spiked out last year, some one-timers. So I would draw your attention back to those one-timers that I would encourage you to think about the first quarter 2011, even that much more exciting for us because it'd been benefit from one-timers comparable to last year. More importantly for this business, what's driving the opportunity going forward is in the Health, Life & Accident portfolio, the continued and rapid growing middle-class in a variety of countries around the world present a tremendous growth opportunity for us going forward. Tom highlighted persistency and retention which is rightful. That is a critical part of our strategy to secure individual relationships and then expand on them with cross-selling and feed them with new relationships. And then as we continue to build on our expatriate and globally mobile portfolio, both the revenue growth there and margin growth is quite attractive. So over time state of acquisitions to your point, we see very attractive top line and bottom line growth opportunities for that business portfolio.
Operator: We'll take our final question from Dave Windley with Jefferies & Company.
David Windley - Jefferies & Company, Inc.: I want to stick with the International. Your revenue growth for the year, I believe, is around 19% for International and you exceeded that pretty dramatically in the first quarter. Was that seasonality or just upside surprise in the first quarter?
Thomas McCarthy: Dave, I would say first underlying the revenue, good news and appreciate you put a spotlight on that for International. A lot of consistency taking place, like retention, et cetera, there was a big step function of revenues as well. The team has an outstanding January for the expatriate portfolio of business. So in addition to very strong retention that's been consistent, the new business sales within that portfolio were just outstanding for January 1. You'll see that in our financial supplement, relative to covered lives growing as well outpacing even the acquisition contribution from Vanbreda. So that would be the additional item I'd highlight, consistency relative to the strong retention, ongoing fundamentals of cross-selling and new business sales, but also for the first quarter of the year, a really significant and attractive step function just reinforcing the power of the value prop we have for the expatriate and the globally mobile business.
David Windley - Jefferies & Company, Inc.: David, are those sales that you highlight outside of Vanbreda or are those -- are you including the efforts within Vanbreda to shift the customer base from more of the TPA to a fully insured?
David Cordani: My comments were exclusive of -- broadly speaking, exclusive of Vanbreda contribution. So in many of the sales, our early traction with Vanbreda is in line with our expectations, holding that aside. But many of the sales that were secured for January of 2011 were secured throughout the summer months of 2010. So it's reinforcement of the value prop that CIGNA expatriate benefits had in the marketplace, and we see that as expanding further now as we go forward and build off of Vanbreda and CIGNA expatriate benefits together.
David Windley - Jefferies & Company, Inc.: So no reason to believe that, that sales benefit to the revenue line would not persist through the balance of the year?
David Cordani: Well, as I noted, the first quarter was truly outstanding. So since I'm sure my International team is listening, we won't take any pressure off of them. But accordingly, as Tom noted, we took out the earnings outlook for International business for the full year. And in part, it's because of the traction from the early part of the year. And again, we just see this as a very robust opportunity for us going forward.
Operator: And at this time, I'd like to turn the call back to David Cordani for any additional or closing remarks.
David Cordani: Thank you, everybody. Before we conclude, I just want to reinforce a few key themes. First and foremost, we delivered strong results in 2010. We've set competitively attractive targets for 2011, and we've exceeded those targets in the first quarter and we expect that for the full year now. Secondly, our first quarter results reflect continued effective execution of our growth strategy, as we remained focused on delivering on our mission which is to improve the health, well being and sense of security of the individuals we serve. I am confident in our ability to achieve our full year 2011 strategic, financial and operating goals and I believe our company is well positioned to deliver on sustained profitable growth over the long term, as we seek to provide enduring customer value in what is a very dynamic marketplace. We thank you for joining us on the call and we look forward to talking in the future. Have a great day.
Operator: Ladies and gentlemen, this concludes CIGNA's First Quarter 2011 Results Review. CIGNA Investor Relations will be available to respond to additional questions shortly. A recording of this conference will be available for 10 business days following this call. You may access the recorded conference by dialing (888) 203-1112 or (719) 457-0820. The passcode for the replay is 9108522. Thank you for participating. We will now disconnect.